Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 Oil-Dri Corporation of America Earnings Conference Call. My name is Kendall, and I'll be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Dan Jaffee, President and CEO. Please proceed.
Daniel Jaffee: Thank you, Kendall, and welcome, everybody to our third quarter and 9-month investor teleconference. With me is Jeff Libert, our CFO; and Doug Graham, our General Counsel; and Ronda Williams, who heads up all of our Investor Relations. And Ronda, will you take us through the Safe Harbor?
Ronda Williams: Certainly. Thanks, Dan. Welcome, everyone. On today's call, comments may contain forward-looking statements regarding the company's performance in future periods. Actual results in those periods may materially differ. In our press release and our SEC filings, we highlight a number of important risk factors, trends and uncertainties that may affect our future performance. We ask that you review and consider those factors in evaluating the company's comments and in evaluating any investment in Oil-Dri stock. Thank you.
Daniel Jaffee: Thanks, Ronda, and we'll stick to our usual format. Jeff, if you would walk us through the financial results.
Jeffrey Libert: Sure, Dan. As those of you who have read the release know, this was a challenging quarter financially. Sales were down 1% for the quarter, but up 3% year-to-date, a little over $56 million sales for the quarter and $169 million of sales for the year. EPS for the quarter was $0.28 per share, down 26% versus a year ago. For the year, EPS was $0.50 a share, down 10% versus a year ago. The story -- the top line has been essentially flat for a number of reasons, which I'll cover when I discuss the business group performance. The bottom line as we said in the last teleconference really suffered due to escalating commodity costs, primarily oil-related, but also somewhat paper-related. Those of you who follow us know that oil is a major factor in our costs and for freight and packaging. Additionally, our foreign subsidiaries have struggled, as they have in the past quarter. Also, as disclosed in our release, we spent more than usual on market research and advertising. As we've said in the release, we've spent $400,000 in the quarter for a new product to be launched in fiscal '12, which Dan will cover in just a few minutes. Covering the business groups and the Business to Business segment. Sales declined 1% for the quarter or last year's quarter, but income was down 13%. Co-packaging, international, animal health and bleaching earth sales declined during the quarter. For co-packaging/international, those are primarily coarse cat litter and the coarse cat litter segment of the cat litter market has continued to decline. We are still studying the matter, but we believe that some of the decline may be due to just the sluggish retail environment because of the economy in general. Animal health declined due to a change in our distribution internationally, which we believe will be beneficial in the long term, but hurt us in the short term. Bleaching earth declined due to slower sales of biodiesel products. The crop is especially good this year. And as a result, there was less needed for biodiesel. Additionally, some government subsidies were ratcheted down during the quarter and some biodiesel producers went out of business. One other point related to bleaching earth, last year the third quarter was the strongest quarter we've ever had. So it was still a very strong quarter for bleaching earth, but not as strong as a year ago. On the bright side, sales of agricultural carriers were up during the quarter. For retail and wholesale, sales were down 1% for the quarter but income was down 27%. As I mentioned earlier, a lot of this was due to slow sales of coarse litter that have adversely affected our consumer business with a lot of our other business remaining somewhat flat. As we've said in past -- the past quarter, this has been a challenging environment to obtain price increases. We have plans in place that we are finalizing, but we have not achieved those price increases just yet. On a positive side, our balance sheet remains very strong. Our cash investment balance is now $36.2 million. That gives us a substantial cash reserve to combat any slow times and also for expansion opportunities. We spent during the quarter $10.2 million -- or not in the quarter, but through 3 quarters, $10.2 million for capital expenditures. That's higher than average for Oil-Dri. We expect our spending this year to approach somewhere in the neighborhood of $15 million as we prepare our plans to launch our major new product. Of our total of $15 million, we expect $9 million to be related to this new product launch. As in the past, we remain committed to dividends. Our quarter dividend of $0.16 per share represents a yield of 2.9% at the quarter's closing price. And also during the quarter, we have continued to repurchase shares, buying back almost 14,000 shares and spending $0.5 million during the quarter and $2.5 million for the year. That pretty much sums it up.
Daniel Jaffee: Thanks, Jeff. Appreciate it and before we open it up to Q&A, I'll highlight or address one question, which I'm sure is on everybody's mind, which is to elaborate a little bit on a sentence from the quarterly release, which says, "This year we have made substantial investments in developing a new consumer product." Quite cryptic there in the news release, and yet they're waiting on it -- we could be getting into competing with Apple tablets, but we're not. We're sticking to cat litter. This is something that's, really it's a product that's 20 years in the making. We've been working on this very hard for the last 24 months with particular focus in the last 12 to 18 months. But what it is is we've always known that cat litter was used by volume, yet it was determined by the Department of Weights and Measures to be sold by weight, and so, because it was a solid. Although there are some solids that are sold by volume. For whatever reason they decided weight was the best value measurer for the consumer. And so what they really incentivized everyone to do was to come up with the heaviest weight products because then you could drive down your cost per pound, but really that was not the consumer's best interest. Well, the environmental movement has really turned that whole concept on its ear because as the liquid detergent guys proved that by taking water out of detergent, they were able to shrink the amount -- the number of ounces you were getting as a consumer. And prior to that move, liquid detergent was pretty much sold on a per ounce basis. You look at the cost per ounce and if that was something that you were focused on particularly, that's how you would compare one brand of liquid detergent to another from a cost perspective, look at the cost per ounce or you could get 2 like-size bottles and compare the price. Obviously, they figured out something that they -- I'm sure they had known forever which is, consumers really don't care about the ounces, they care about how many loads can they do. And so by watering something down, you're not really giving them any benefit. In fact, you're giving them a big disincentive, which is heavier weight and ultimately due to the carbon footprint, you're hauling around all this water. So the liquid detergent guys at the behest of really Wal-Mart and many of the national retailers, reformulated, pulled water out of their product, shrunk the packaging, went to this 3x and talked about how many loads you can do. You'd use less per -- the caps got smaller, so you'd use less per load, but you could do the same number of loads, and so the consumers have adopted it. It's been great for the consumers, they're carrying home less weight. It's been great for the environment. They're shipping less weight around the United States, less packaging and so everybody wins. So it's been a great thing. So we challenged our scientists to say how can we do the exact same thing for cat litter? Obviously, if in detergent, they had done all this, but your whites weren't as white and your colors weren't as bright, nobody would have been happy about the change. It had to be that there were no trade-offs, that the end product was as good or better than what they were buying prior to the concentrated move. And oh, by the way, it was lighter and good for you and good for the environment. So we challenged our research people to do the exact same thing, which is to come up with a scoopable cat litter, that's where the growth in the category is continuing to be, that clumps just as hard and/or harder than anything that's out there, that is equal to or less dust, equal to or less tracking and equal to or greater odor control, and make it lighter. Take the weight out of the finished product so that we would be shipping less weight around. And our consumer, which is a woman, target audience demographics tend to be a woman, 25 to 54, we did a lot of research. And they obviously don't want any trade-offs. But yes, if you could match the key attributes for why they're buying the product, the clumping and the odor control and the tracking and the dust, that they would be very interested in buying a product that was lighter in weight, because they have no desire to carry home more weight each week or each 2 weeks or each month or whenever they buy cat litter. So that's what we've been working on, and we're very excited about it. Obviously, our retail partners, we're going to be start taking it to them. But we've been working with some along the way and gotten good feedback and they're excited about it. So we've spent a lot of money in this fiscal year really, we're not going to have any benefit in this fiscal year. It's all going to start to happen in fiscal '11 -- in '12, excuse me. And I think we put out there in the Q that what we expect -- we don't really give earnings guidance, but I didn't want everyone to panic that our intent was to crater the earnings next year. Obviously, that could happen, anything could happen. But our intent is that while this product will not be a contributor to earnings next year, we'll actually lose money on it, net-net the whole division will come in at about even and ultimately the company will come in about even next year. But what you should expect as an investor is to see a pretty dramatic increase in top line sales that if this thing is succeeding, then sales will be going up at a good clip, we'll be able to report IRI data. But IRI, it's not a good -- it's not a real accurate indicator of the category because currently IRI tracks about $800 million of the $1.8 billion in retail sales in the United States. You're talking -- it's capturing only about 45%, 55% of the sales that go on in cat litter happen outside of the scope of IRI. Wal-Mart doesn't report. The clubs don't report. The Dollar Stores, which have been a big trend, don't report. The pet specialties don't report, the PETCOs and the PetSmarts of the world. So by the time you get down to who does report it, you're talking about grocery and some of the mass and then the drugs, Walgreens and CVS and all that. So like I said, it represents about $0.45 on every $1 that's sold, they're capturing in $0.55 they earned. But that will really be the tail of the tape in fiscal '12 is our ability to gain distribution and then to incentivize the consumer to try the product, and then really to monitor very closely the repeat purchases, and are we getting acceptance and adoption or are we just getting churned, and so that will be the key for fiscal '12. So we're very excited about it. Obviously, it's a big investment for the future. It's right in our core business. I can tell you that for us, the key to finding the solution to this Gordian knot has been different than what we've seen other people do. There are lightweight litters out there right now, but they don't work. They're an organic product, most of them made from wheat or corn or peanut holes or things like that. And so organics by nature are nourishment for enzymes that are causing odors. So you've got to almost teach the cat litter to do something that it's not created to do, which is we're trying to get -- to stop odor control, but organics are actually helping to promote odor. And so -- and then they're so light that they actually track like crazy. The cats kick them out of the boxes, so you don't -- too light is a bad thing. On the other hand, if you want great performance, you've had to have something really heavy, really bulky, and frankly, not real desirable for the consumer. We did a lot of focus groups around this and it was really interesting to see the women as they started to interact with the product, some of the best comments were things like, "Wow, I just thought it always had to be this way, sort of like luggage. Why did it take us 2,000 years to put wheels on luggage?" I don't know. But by definition, the name lug, luggage, you're lugging it around and then all of a sudden somebody thought, "Hey, let's put it on a cart and then let's put -- actually put the wheels on the bag. Why not?" And then it just makes so much sense. But obviously, it took a lot of people a long time to figure that one out. So the consumer really liked the idea of a lighter-weight efficacious litter, and across-the-board, they responded they'd be very willing to try the product, very interested in it. So we're excited about it. It blends. Sodium bentonite has been the scoopable cat litter of choice since 1991. But for the first 45 years of the category, 1946 to 1991, the real key was odor control and absorbency and low dust and light density, and all 4 of those attributes were calcium bentonite, which is our primary raw material. And then around 1991 came clumpability and sodium bentonite naturally swells when wet, so it forms clumps. So all of a sudden, they took about half the share of category. Well, we figured out with the right blend of calcium bentonite and sodium bentonite, the right granulation size and the right percentage ratios -- and some of it is proprietary and some of it is patented. So we're excited about that. We have a patent exactly covering what we're doing, and very excited to sort of bring what we call the best of both worlds. You get the clump strength of sodium bentonite, but you get the odor control, absorbency and light density of calcium bentonite. And so you end up with a product that truly, as we say, is changing litter for good. And so we're excited about this. So I've used up half the time, but I'm sure this was very high on everybody's list. Kendall, why don't we open up for questions, and as always, prioritize, ask your most important question first and then go to the end of the queue.
Operator: [Operator Instructions] Your first question comes from the line of Ethan Starr.
Ethan Starr - Private Investor: I'm very interested in this new product. Now you already have this Cat's Pride scoopable that's 14 pounds, whatever ounces is 20 pounds for the same volume. How does a new product compare in terms of weight to everyone else's 20 and your 14 for the same volume?
Daniel Jaffee: Very good question. Your specific question was, how does it compare on weight? It's a little bit heavier. The problem with the Cat's Pride -- Cat's Pride scoopable is a great product. It has a couple of achilles heels. It doesn't clump as hard and it's a little dustier. The substrate we use to make it clump to train full calcium bentonite into performing the clump actually creates some dust, and it doesn't clump as well as sodium bentonite. So while it's a good product, the analogy I would use for it, although it's better than this analogy, but this is a better analogy maybe for the pure alternatives, the wheats and the corns and so forth that are very light. Ours are still in the very good range is the idea of an electric car. I mean, I don't know anybody that's driving a purely electric car, but if it will go as far, as fast, was as cheap, was as easy to fill and to recharge as the gas cars to fill up, all those attributes, but did all that a gas car did, pretty much everybody would be driving an electric car. But the fact is, it doesn't. So that sort of Cat's Pride scoopable is an achilles heel. It's a great product for those people that don't need the clump strength immediately. Over time, Cat's Pride Scoopable actually clumps harder than sodium bentonite. It sets up and it congeals. But if you're want a -- for the high maintenance, high active or people with multiple cats, they sometimes want the harder clumping.
Ethan Starr - Private Investor: Okay. Will there be any benefit as far as less freight -- less fuel cost when freight shipping?
Daniel Jaffee: Well, I mean, for instance, let's just think about it logically. The Department of Transportation mandates that you can't put any more than 44,750 pounds in a truckload, okay? So if you have a current formulation that weighs 20 pounds a jug, you can calculate -- there's pallets in there, but you can calculate how many units you could get on a truckload. So all of a sudden, that same size jug which will fill the same amount of trays, instead of weighing 20 pounds weighs 15. You're going to get not 25% more because, again, there's pallets and so forth. But you're going to get about 22% more on every truckload for the exact same freight cost to get the first truckload to the account. So absolutely, there's dollar savings. There's also soft savings. I mean, think about it, if you're a retailer and you're breaking in whatever, 40,000 truckloads a year. Now to fill that demand, you only need to bring in 30,000 truckloads, well, your dock time just got a lot better. Your flow in and out of your yard just got a lot better. You just reduced the number of trucks you got to bring in by 10,000, not to mention the carbon footprint, which is very good since they're bringing in 40,000 truckloads with all that diesel and all the emissions, the CO2 emissions, you're now bringing in 10,000 less.
Ethan Starr - Private Investor: Okay. How's the pricing on the products?
Daniel Jaffee: At parity with the branded players in the category.
Operator: [Operator Instructions] The next question comes from the line of Robert Smith with Center for Performance Investing.
Robert Smith - The Center for Performance: Well, you surprised me. I thought you were coming out with color coordinated cat litter. Okay. So just let me -- what are you going to call this?
Daniel Jaffee: I'm looking at my legal counsel. Are we divulging that yet?
Douglas Graham: I don't think so.
Daniel Jaffee: No, we're not divulging that yet. You'll know when it's time. We're going to have to support it with mass media. We're going to be doing some TV. We're going to be doing some print. Hopefully, you'll see it all over the place.
Robert Smith - The Center for Performance: Okay. But I mean on the product, you're going to have to really be very clear as to what the product by name is going to be able to do.
Daniel Jaffee: I agree 100%.
Robert Smith - The Center for Performance: Okay. So let's circle back to Wal-Mart, then the point of distribution comment. When you say it will reach comparable levels to fiscal 2009, was that the peak?
Daniel Jaffee: Yes.
Robert Smith - The Center for Performance: Okay, so that's very encouraging.
Daniel Jaffee: It's very encouraging. I'll tell you the caution note is look, we were off the shelves for 2 years. We're now pretty much back where we were 2 years ago. Our movement is not the same per store. We're seeing a ramp up, but it's slow and, well, troubling I'm just -- I wish -- look, I wish we just immediately got back and we were moving the same per store today that we were moving 2 years ago. That hasn't happened, so we're working hard with the buyer. I can tell you they're very supportive. They want this to work. They want to get it right. There's some shelf positioning problems, where they sort of put it in some of their schematics, maybe not where it would be most advantageous for our brand and are working on that. So yes, it's very positive that we're back. I mean, it's unbelievable. This would be a harder business study at some point.
Robert Smith - The Center for Performance: So can you -- is there any way to -- for the fourth quarter, the incremental business I mean, is this substantial?
Daniel Jaffee: We're not getting into that level of detail. But the good news is, from a points of distribution standpoint, we're equal to or even slightly ahead of where we were back in June of '09.
Robert Smith - The Center for Performance: Okay. And the comment about the Verge granules and manufacturing costs, is that due to the increased commodity costs or what?
Jeffrey Libert: Actually, it's due to the fact that Verge is still really a product under development, and we continue to refine our process and learn more and make better quality and reduce cost. But it's still a fairly new process in the big scheme of things. And so it's -- for the foreseeable future, it's going to be higher cost than we would like.
Daniel Jaffee: The good news is there are some major breakthroughs in the quarter of how the process, one of the major granules we're making, and really dramatically reduced the cost. So going forward, there's some -- there's a rainbow out there.
Robert Smith - The Center for Performance: So how will this influence the pricing of the product?
Daniel Jaffee: It's really -- you'd hoped they're disconnected in a sense. I mean, they can ultimately be disconnected if you're costs are greater than your sales price, then they get very connected. But once you're, hopefully, getting to the point where you're making margin, you want to be value priced, you want to be providing a granule that the consumer, your customer sees real value in and they don't really care what your costs are because they're getting utility out of it, hopefully, above and beyond whatever they are paying for it. And so, as you know, our mission statement is creating value from sorbent minerals. So we're really focusing on what's the value to the end user, trying to use this granule in those applications where they would find the most value.
Robert Smith - The Center for Performance: Are you going to accept a lower margin than you would originally anticipated?
Daniel Jaffee: Ultimately, no.
Jeffrey Libert: I wouldn't say that. I mean, we find that -- though we've had a number of learnings as we go through, and one of the learnings is the market seems to value the product. And so we believe that, at this point, that the margins will be very attractive.
Robert Smith - The Center for Performance: Can you tell me something about the background of Kevin Hayes?
Daniel Jaffee: No, I don't it -- just we're happy to have him. He's in the animal division. He's happy to have us. So far, I mean, he's good, but none -- we're not going to get into details.
Robert Smith - The Center for Performance: How about China, you said you had registration there?
Jeffrey Libert: For Calibrin-A, -Calibrin-Z, right?
Ronda Williams: For Calibrin-A.
Jeffrey Libert: Calibrin-A.
Daniel Jaffee: Calibrin-A is registered. Calibrin-Z, there is a moisture hiccup, and we're still working on it. We believe we'll ultimately be registered.
Robert Smith - The Center for Performance: So have you seen anything develop from that?
Daniel Jaffee: Sure, only to say, I'd just say, Amlin in general for the fiscal year has been disappointing, and we're working on it. But we think we've got some work to do. The product works and there's a real customer need. So ultimately, if you think you could figure out how to price it right, market it right, package it right, I think all 3 of those have some big question marks around it, how we've approached this, to ultimately get the pump primed. But we're not there, but the good news is there's a real market and our product really works. I mean, every time we do any studies, any tests, our product works. It's really the best out there at binding certain toxins. So we're going to figure this one out, but it's taking us time.
Robert Smith - The Center for Performance: And I missed the last comment right at the tail end, you threw some figures out of I think $0.5 million and $2.5 million. What is that?
Daniel Jaffee: Was that Jeff or me?
Jeffrey Libert: That was me and that was related to the amount of money spent on stock repurchases during the year -- in the quarter.
Operator: Your next question is a follow-up question from the line of Ethan Starr.
Ethan Starr - Private Investor: Yes, have you begun the process of adding more capacity to the Verge production line?
Daniel Jaffee: No.
Jeffrey Libert: We're ramping up. As we learn more about the process, we're doing better with what we have. We're assessing expansion, but we're not...
Daniel Jaffee: Yes, you're thinking of Phase 2, because I did reference that on a prior call.
Jeffrey Libert: Right. We have not done that yet.
Ethan Starr - Private Investor: Okay. And regarding the new consumer product, the new cat litter, will that help get you increased distribution to chains you're not in already?
Daniel Jaffee: That's certainly the hope. I mean, and like I said, it hits so many key attributes both for the ultimate end user and for the retail partner that -- I mean, there's no such thing as a no-brainer, but this one's as close as it gets. Thanks. I mean, yes, I mean, we're pretty much down to the final couple minutes, and unless there's a question from someone other than Ethan or Bob. Kendall, is there?
Operator: You have a follow-up from Robert Smith. [Center for Performance Investing]
Daniel Jaffee: Okay. Bob, let's take your follow-up and then I'll do the wrap up.
Robert Smith - The Center for Performance: I guess this fiscal year isn't going to be any more fire on the bottom line, but I hope you guys continue to inch up the dividends. I think it really pay in the long term.
Daniel Jaffee: Well, thank you for that feedback and as always, the board will address it at the next board meeting.
Robert Smith - The Center for Performance: Okay, good luck.
Daniel Jaffee: Thank you. All right. Well, it didn't come up in any specificity, but I had the marketing team pull this together, so I might as well share some of it. The IRI data, we talked about it. It's only 45% of the market, but it does give you a snapshot and with our increased attention and investment in the consumer product end of our business, I think it's important for us to share with you each teleconference some of the market dynamics so you can assess for yourself how we're doing and how is the launch going. So the category is, as I said, it's $1.8 billion estimated. We know IRI is capturing $825 million. That's the 52-week number ended May 29, 2011, and it's up 0.4% from last year. So relatively flat, which is for this category down. I mean, this category for the -- historically has outpaced population growth and it's done well. So it shows that the economy is definitely having an impact, even on the cat litter category. It is in dollars, so people obviously are trading down. I don't think they're getting rid of their cats. Scoopable is up 2.1%, coarse is down 8%. So you start to see that the decline in coarse is speeding up a little bit and scoopable is inching up 2%. Dollar share scoopable is 70% roughly. Coarse grind is 20% of the category, and then 10% of things we would call alternatives, these wheat and peanut and corn and crystals, the purely silica gel products, which were down 2% for the year and they represent about 2.5% of that remaining 10%. So it gives you an idea where the category is. Happy to report Cat's Pride on a 52-week basis of the brand, dollar share for IRI was 3.7%, but we were up 8.8%. Fresh Step has a 21% share, they were down 3.8%. Scoop Away has 5.9% share and they were down 7.1%. Those 2 brands are both made by Clorox. Tidy Cats, which is made by Nestlé, has a 30.2% share. They were down 1.4%. Again, the category was up 0.4%, so if you're not up 0.4%, you're losing share. Arm and Hammer, which is 16% of the category, was up 13% for the year. And total private label, which has about 14% share of the category, was down 4.9%. So again, that sort of flies in the face of the economy perspective, because you would think in a weaker economy, people would trade down off of brands onto private label. It's not showing itself in the numbers. So anyway, those are the 52-week numbers. We also have 12-week snapshots. You can kind of get a feel for things speeding up or slowing down. I'll just stay real macro. But again, the category was growing at 0.4% on a 52-week basis. It's growing at 2.7% on a 12-week basis, so giving you the indicator that maybe things are picking up a little bit. Scoopable was up 2% for the year. It's up 5.7% for the 12 weeks and coarse was down 8% for the year. It's down 9% for the 12 weeks. So you kind of get a feel for that dynamic. Cat's Pride was up 8.8% for the 52 weeks. It's up 8.9% for the 12 weeks. So we're, again, outperforming the category, which is good. Jonny Cat, which is a much smaller number, we're down 13%. Jonny Cat tends to be pretty much all coarse cat litter, so it's not surprising that with coarse down 9%, Jonny Cat is down. We should try and track with coarse or not. So we're obviously losing some share there. Fresh Step was down 3.8% for the year. It's down 2.7% in the 12 weeks. Scoop Away, interestingly enough, was down 7% for the year, but it's down only -- it's up 12.7% for the 12 weeks. So we're obviously reenergizing Scoop Away. Tidy Cat, down 1.4% for the year, up 1% for the 12 week, still falling short of the category growth but obviously doing better. And Arm and Hammer, again, continues to do very well, up 13% for the year, up 17% for the 12 weeks. And finally, private label down 4.9% for the year, is down 6.4% for the 12 weeks. So that just gives you some sort of macro. We'll obviously break out specific SKU information for the new item once it starts to hit the radar screens. We don't expect to really do much of anything until the new fiscal year starts. So it's really going to be continue to get ready for the launch and then launch come fiscal '12. So thank you. Very excited about the future and look forward to talking to you in 3 months and stay safe. Thanks.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.